Operator: Good morning or good afternoon and welcome to the Brookdale Senior Living Third Quarter 2023 Earnings Call. My name is Adam and I will be your operator for today. [Operator Instructions] I will now hand over to Jessica Hazel to begin. So Jessica, please go ahead when you are ready.
Jessica Hazel: Thank you, and good morning. I'd like to welcome you to the third quarter 2023 earnings call for Brookdale Senior Living. Joining us today are Cindy Baier; our President and Chief Executive Officer and Dawn Kussow; our Executive Vice President and Chief Financial Officer. All statements today which are not historical facts may be deemed to be forward-looking statements within the meaning of the Federal Securities Laws. These statements are made as of today's date and we expressly disclaim any obligation to update these statements in the future. Actual results and performance may differ materially from forward-looking statements. Certain of the factors that could cause actual results to differ are detailed in the earnings release we issued yesterday, as well as in the reports we filed with the SEC from time to time, including the risk factors contained in our Annual Report on Form 10-K and quarterly reports on Form 10-Q. I direct you to the release for the full Safe Harbor statement. Also, please note that during this call, we will present non-GAAP financial measures. For reconciliations of each non-GAAP measure from the most comparable GAAP measure, I direct you to the release and supplemental information, which may be found at brookdaleinvestors.com and was furnished on an 8-K yesterday. Now, I will turn the call over to Cindy.
Cindy Baier: Thank you, Jessica. Good morning to all of our shareholders, analysts and other participants. Welcome to our third quarter 2023 earnings call. We are making great progress on our three strategic priorities, which are: First, get every available room in service at the best profitable rate; second, attract, engage, develop and retain the best associates; and third, earn resident and family trust and satisfaction by providing valued high-quality care and personalized service. I believe that this progress is evidenced by our strong year-to-date results as well as another quarter of consistently delivering against our commitments. For the third quarter, we are pleased to note that both RevPAR and adjusted EBITDA exceeded our previously provided guidance ranges. Additionally, we were pleased to deliver positive adjusted free cash flow for the quarter. And while there will continue to be quarterly variability in working capital, which benefits us in some quarters and presents a headwind in others, we are seeing the positive results of our recovery strategy that focuses on profitable and sustainable growth. On the top line, same community RevPAR increased 10.8% over the prior year third quarter. We had strong occupancy growth and have remained disciplined in our rate management. More specifically, Brookdale grew same community occupancy 120 basis points sequentially compared to the 60 basis points of NIC stabilized sequential occupancy growth. These results are an outcome of our intentional experience-driven plans, the successful execution of our sales and marketing strategies and the dedication to our mission by our more than 36,000 associates. Third quarter move-ins outperformed our pre-pandemic average by more than 5%, signifying the demand for our services and a desire to be part of a Brookdale community, where neighbors can become friends and make meaningful connections with one another. Additionally, we delivered a nearly 6% sequential reduction in move-outs during the third quarter. With these positive results, I am pleased to say, that our continued progress towards full operational recovery is making its way down the income statement and was not only top line. Our teams have been diligent in appropriately managing expenses, while ensuring that we continue to meet our residents' needs, provide high-quality care and personalized service and remain in compliance with applicable regulations. As we continue to grow occupancy and improve retention and turnover from the pandemic impacted period, we expect that our productivity will continue to improve, resulting in additional margin growth. When coupled with our strong RevPAR growth, the productivity improvement we are already experiencing in 2023 has supported a 25-plus percent same community adjusted operating margin for three consecutive quarters, a year-to-date improvement of 600 basis points over the prior year. I believe that with each quarter, we are strengthening our operational and financial foundation. As part of this, our teams are making significant continued progress on attracting, engaging, developing and retaining the best associates. This is a business of people serving people. In the third quarter, we delivered meaningful improvements in both leadership retention and associate turnover. Year-over-year retention rates for our key three community leadership roles, which includes our Executive Director, Health and Wellness Director and Sales Director, increased more than 200 basis points. Additionally, while we are not yet where we want to be, full-time hourly associate turnover has improved more than 10 percentage points from the prior year third quarter as a result of the initiatives and programs we've implemented across the organization. I am extremely proud of this progress and look forward to sharing further improvements in the coming quarters. With the start of the fourth quarter, we are dedicated to sustaining the operational progress we have gained over the course of the year, to building upon our strong foundation for 2024 growth and to once again delivering against quarterly expectations. Dawn will share details of our fourth quarter guidance, while I want to touch on a couple of the invaluable operational investments we are making this quarter. We've recently completed training with our community and field leaders to further equip them with essential tools to foster long-term growth and enhance operations within their communities. The training was designed to support not only a growth mindset among our leaders, but to improve operational execution to drive sustainable and quality business outcomes and to support consistent and quality resident experiences. When we cultivate a culture that is focused on both our mission and our margin and we are clear about what is most important and provide the necessary resources while holding our teams accountable. We build trust and empower our teams to achieve exceptional results. The response to this training, particularly from those newest to our Brookdale family has been tremendous. We remain dedicated to our overarching goal of the health and well-being of our residents and associates. Accordingly, our clinical and community leaders have been focused on the execution of our on-site vaccination clinics, which are part of our strong infection control protocols. I am pleased to report that we've already hosted vaccination clinics in all of our 672 communities. By bringing life-saving vaccines into our communities, we are not only supporting the health and safety of our residents but also our associates who live out our mission every day. I am proud to be part of an organization that cares for its residents deeply, fosters meaningful connections among our residents and associates and enriches the lives of seniors who call Brookdale home. Before I give some thoughts on our expectations for next year, I'm pleased to provide a positive update on our LTC lease agreement. As a reminder in May, I spoke to details regarding our notice of non-renewal for a 35 community lease. In August, I shared that we reached a mutually beneficial agreement with LTC communities under a new lease. Since that time, LTC has been working through plans for the remaining 25 communities that were set to transition to new operators by year-end. LTC recently approached us with a request to add seven communities to the 10 we agreed to retain previously. I'm pleased to report that we've reached a mutually beneficial agreement to retain the combined 17 communities and as part of the new agreement, we have the right to acquire all 17 assets under favorable purchase options. Additionally, Brookdale is receiving an increased pool of landlord-funded CapEx investments. This new expanded lease is a win-win for Brookdale and LTC. And under the new lease terms, these communities would provide positive lease coverage. Our teams are aligned on transition plans for the 18 remaining properties and are well-prepared for successful transfers during the fourth quarter. The timing of these transfers to new operators is not expected to materially impact our fourth quarter results. As we near year-end, I want to introduce some early perspectives for 2024. In 2024, we plan to deliver another year of solid occupancy growth. As I shared with you in detail on last quarter's call, the supply and demand dynamics coupled with our unique differentiators support a long-term expectation that we will return to our historical high occupancy once again. Specific to 2024, we anticipate continued steady and sustainable occupancy growth that will move us closer to that future goal. Another key consideration in our planning is pricing. It is important to ensure that we are charging a fair rate for the services that we provide that also balances affordability for our residents with the costs that are necessary to provide high-quality services. Among other factors our 2024 pricing plans will incorporate the normal cost of operations, expectations of more muted labor inflation and ongoing elevated interest expense from the higher for longer rate environment. Also in 2024, we will continue to lean in to health care programs like Brookdale HealthPlus as one of many ways to best serve our residents and further establish our position as the nation's first choice in senior living through high-quality individualized care. Lastly, we anticipate that with higher occupancy and ongoing improvement in retention and turnover, we can once again report margin expansion in 2024 as we improve leverage of fixed costs and naturally become more productive, while meeting our residents' needs, providing high quality care and services and remaining in compliance with applicable regulations. Looking ahead, it remains undeniable that demand from the target senior demographic is here and rising. With our unique Brookdale differentiators and our proven industry leadership, we are prepared to meet the strong demand. I want to close by thanking our associates both those who serve our residents directly and those who support them for their continued commitment to our residents who place their trust in us every day. I'll now turn the call over to Dawn.
Dawn Kussow: Thank you, Cindy. Good morning, and thank you for being here today. I'm proud to share with you Brookdale's third quarter results, which represent our continued positive momentum and progress this year. Beginning with third quarter revenue, resident fee revenue grew more than 10% above the prior year quarter to $717 million. Other operating income which is largely comprised of federal and state grants was $2.6 million in the third quarter compared to $67 million in the prior year third quarter. The prior year amount included $61 million of phase four provider relief funds. We were pleased to report third quarter consolidated RevPAR growth of 10.7%, which outperformed our previously provided guidance range. This strong performance was attributable to a 120 basis point year-over-year weighted average occupancy increase and a 9% year-over-year RevPOR increase. Both move-in and move-out volume improved compare to the second quarter, which supported a 110 basis point sequential occupancy increase. Additionally, occupancy not only grew every month within the quarter as expected, but sequential increases each month of the quarter accelerated, including the October results that we reported yesterday, we have achieved seven consecutive months of sequential occupancy increases this year and 24 consecutive months of year-over-year occupancy growth. Specific to our same community portfolio, third quarter RevPAR increased 10.8% over the prior year, driven by 140 basis points of occupancy growth and an 8.9% increase in RevPOR. We are very pleased with these top line results particularly when compared to industry performance. Moving to expenses. Third quarter consolidated facility operating expense was $537 million. Within same community facility operating expense as shown on Page 8 of our financial supplement, year-over-year labor costs increased approximately 1% and other operating expenses increased just under 6% compared to the nearly 11% revenue increase. This impressive revenue to expense spread drove 580 basis points of third quarter adjusted same community operating margin growth to 25.4%, which excludes the impact of other operating income. This 580 basis point growth was an even larger year-over-year margin improvement than we reported in the second quarter and supported our third consecutive quarter of 40-plus percent same community adjusted operating income growth over the prior year. We are pleased to have delivered positive year-over-year adjusted operating income growth within our same community group for each of the last eight quarters. As part of this, we are pleased to deliver additional reductions in premium labor expense in the third quarter. Sequentially, contract labor expense was 35% lower than in the second quarter. We will continue to monitor contract labor usage moving forward, but believe the most material labor improvements will now largely result from a focus on further reducing overtime as well as the opportunity that comes from increased occupancy and improvements in associate turnover. We will remain diligent in this area, while continuing to meet our residents' needs, provide high-quality care and services and remain in compliance with applicable regulations. Third quarter general and administrative expense was slightly favorable sequentially which is primarily attributable to lower estimated incentive compensation. Cash operating lease payments for the third quarter were $65 million, which is consistent with our previously provided expectations. Adjusted EBITDA in the third quarter was $80 million and exceeded the top end of our previously provided guidance range by approximately 3%. As a result of strong operational performance, we were able to offset the incremental labor expense related to an additional day and an additional holiday that occurred in the third quarter as well as the normal seasonal impact of higher utility usage both of which were built into our guidance range. Adjusted free cash flow was positive $2.5 million, a $10 million sequential improvement when compared to the second quarter. Third quarter non-development capital expenditures were $47 million, which was largely in line with our expectations. Regarding capital expenditures related to the fourth quarter 2022 natural disasters, year-to-date we have incurred approximately $27 million in reimbursable remediation costs and anticipate roughly $1 million, which will be incurred in the fourth quarter. We continue to anticipate that the reimbursement for this spend will largely occur in 2023. During the third quarter, we received $11 million in insurance reimbursement bringing the year-to-date total reimbursement to approximately $20 million. As of September 30, total liquidity was $405 million. We are pleased with this liquidity position. Turning to our fourth quarter expectations. In yesterday's press release, we guided to fourth quarter RevPAR growth of 9.5% to 10% over the prior year and adjusted EBITDA in the range of $77 million to $82 million. We expect fourth quarter weighted average occupancy to increase above the third quarter. This expectation reflects the anticipation of a normal flu season. In the event of elevated flu or COVID cases move-ins and move-outs could be negatively impacted as we continue to prioritize the seniors we serve. While in-place rate increases will occur on January 1, we once again introduced new selling rates beginning in early October. We introduced a smaller increase in new selling rates this year than the increase in selling rates implemented at the start of the prior year fourth quarter. From this we expect the fourth quarter sequential change in RevPOR to more closely reflect pre-pandemic performance instead of the sequential step-up in RevPOR we reported in the prior year. Regarding expenses we believe the variability between the third and fourth quarter from seasonality factors is not material in total unlike in other sequential quarterly comparisons this year. As a result, we expect fourth quarter facility operating expenses, as a percent of revenue to be relatively in line with the third quarter. Additionally, we anticipate general and administrative expense to be similar to the third quarter. Cash operating lease payments of approximately $65 million, are expected for the fourth quarter. This expectation reflects the full quarterly impact of $30 million from the two previously communicated changes in lease classification. Moving to our $257 million of agency debt, which matures in September 2024 and is classified as current debt on our September 30 balance sheet. Considerations for the refinancing have included the interest rate environment, the continued recovery of the assets within the loan as well as our strong liquidity position and future liquidity needs. Taking these considerations into account, we expect to address the loan through a combination of refinancing proceeds and cash. We have made significant progress on a refinancing transaction with agency debt, which we are optimistic will be completed in the coming months. We believe our balance sheet is well positioned to provide sufficient flexibility, as we continue our positive momentum toward full operational and financial recovery from the impact of the pandemic. I'll now turn the call back over to Cindy.
Cindy Baier: Thank you, Dawn. In summary, we are extremely pleased with our performance so far this year, from our steady occupancy increases to our consecutive quarters of year-over-year same community, adjusted operating margin growth to our positive adjusted free cash flow in the third quarter. Our disciplined approach to ensuring sustainable forward progress is continuing to yield positive results. As Dawn and I have said since the first quarter, we believe 2023 will be a year of solid progress and growth. I am proud to be delivering just that. Operator, we will now open up the call for questions.
Operator: Thank you. [Operator Instructions] The first question today comes from Joanna Gajuk from Bank of America. Joanna, your line is open. Please go ahead. 
Q – Unidentified Analyst: This is Naomi [ph] on for Joanna. And I just had a couple of questions first one, regarding the rent increases for next year. So as I guess you guys said that, the increases next year will likely moderate as inflation decelerates. So is it fair to assume 4% to 5% rent increases next year? And if your target customer is more middle market, how much can they afford?
Cindy Baier: Good morning. Thank you for the question. We aren't commenting on our in-place resident rate increases yet, because we are in the process of communicating those to our current residents as we speak. But what I can say is that, we did increase our market rate early October for new move-ins. This is part of our standard pricing policy. And what we shared in our prepared remarks was that the increase in our new selling rates was lower this year, than the increase in selling rates than we had last year in the fourth quarter. And we evaluate market pricing in the context of supply, demand and other factors. And we're always very focused on making sure that our services remain affordable for the residents that we serve.
Q – Unidentified Analyst: All right. Thank you. I'm just going to ask one quick follow-up. So last time, you suggested that in some markets, you have use discounting to help drive occupancy. Has the discounting activity picked up during Q3?
Cindy Baier: What I'll say is that with the company the size and scale of Brookdale with almost 672 communities in 41 states, we see a little bit of everything throughout the year. But I think our teams have remained very disciplined in matching the competition where necessary to drive occupancy but also making sure that we're getting the strongest rate for our units. And what you see more than anything else is really the mix of our portfolio and where occupancy is growing faster than others. So I feel pretty good about what we're doing about remaining disciplined about the rate.
Q – Unidentified Analyst: All right. Thank you so much.
Cindy Baier: Thank you.
Operator: [Operator Instructions] The next question comes from Josh Raskin from Nephron Research. Josh, your line is open. Please go ahead.
Josh Raskin: Thanks. Good morning. I was wondering could you walk us through supply and sort of construction environment. I'm kind of -- I'm trying to figure out how long do you think it takes for this sort of lull in construction to past? Do you think you really need to see interest rates start moving the other way? And then, are there any markets where construction is still maybe not normal course of business but still going on?
Cindy Baier: It's a really good question, Josh. And we feel great about the supply-demand environment. If you look at Page 12 of our Investor deck, what you'll see is that starts are down 78% from the peak and opens are 52% lower than the peak. And I think that's a combination of factors that is availability of construction, labor construction costs, high interest rates and tightening credit. And if you think about the time it takes to go from start to finish of a new community, it can take as long as three years right now to get started. So I think that Brookdale is well positioned for steady and sustainable growth, given that we have one million new customers entering our target market every single year through 2030 and it is going to be quite a bit before we actually see an increase in new construction, at least that's my view.
Josh Raskin: Okay. So three years is kind of the lead time. But there's no more -- are there markets where you're still seeing reasonable levels of construction not just one-offs but any sort of growth markets?
Cindy Baier: I think, overall, what we're seeing is across the country, we're seeing the opens are 52% lower than the peak. But of course, in any market you may see a new competitor opening but we've got fewer of our communities exposed to new competition than we did in the past.
Josh Raskin: Okay. And then second question can you speak to the acuity trends of your residents? I'm assuming the newer residents come in they use less services but maybe how long does that take for that sort of ramp up over the life of a specific resident stay?
Cindy Baier: What I am grateful for is that our acuity levels have come down since we have exited the pandemic and they are back to pre-pandemic levels, if not slightly better than that. I will say that the acuity changes very much by the level of care that resident enters and the acuity that they come into the community with. But if you think about the fact that our length of stay ranges from let's say a little under 1.5 to three years, it very much by product type. But we do traditionally review our acuity of our residents at least quarterly. And so you'll see as the age in place their care needs change, and then when new residents move-in they traditionally have a lower level of care than our existing residents. And that's one of the reasons why if you kind of look at Brookdale's revPAR throughout the year, you'll see care charges become smaller which breaks our revPAR a little down as you go from first quarter to fourth quarter.
Josh Raskin: Okay. Perfect. Thanks.
Cindy Baier: Thank you.
Operator: This concludes today's Q&A session and does conclude today's call. Thank you very much for your attendance. You may now disconnect your lines.